Operator: Good afternoon, ladies and gentlemen and welcome to the Fourth Quarter and Full Year 2016 Vermillion Earnings Conference Call. My name is Eric and I’ll be your coordinator for the call today. With me today are Valerie Palmieri, President and Chief Executive Officer; Dr. Marra Francis, Chief Medical Officer; and Eric Schoen, Senior Vice President of Finance and Chief Accounting Officer. This afternoon, they’ll recap their fourth quarter and full year 2016 performance and discuss key accomplishments in 2016 and priorities for 2017. Before we get started, I would like to point out that there will be a replay of this conference call available via telephone and internet. Please refer to today’s press release for replay information. This presentation contains, and answers to today’s questions may contain forward-looking statements including statements regarding Vermillion’s research trial services business, ASPiRA IVD, Vermillion’s plans to commercialize Overa, including its targeted launch program, anticipated test volumes in future periods, expected progress with respect to Vermillion’s strategic plan, expected results from Vermillion’s sales initiatives, Vermillion’s ability to establish in the case of Overa and continue to improve in the case of OVA1, payer coverage for its test including through additional clinical utility and health economics publication, the impact of scientific publications on expanding use of and access to OVA1 and Overa, the ability of our pelvic mass data repository to facilitate the development of future algorithms for early detection, symptom management, diagnosis and progress of gynecologic diseases, the effects of anticipated outputs from clinical utility studies, anticipated cash utilization, global commercialization plans, and the anticipated effects thereof, anticipated effects of agreements with strategic lab partners, trends with respects to OVA1 and Overa testing volumes, anticipated Medicare pricing, anticipated revenue, and the anticipated timing of the recognition thereof and expected cash on hand. You are cautioned not to place undue reliance on forward-looking statements. Vermillion is providing this information as of the date of this conference call and does not undertake any obligation to update any forward-looking statements contained on this call as a result of new information, future events or otherwise except as required by law. Forward-looking statements reflect management’s current estimates, projections, expectations or beliefs and involve risks and uncertainties that could cause actual results and outcomes to be materially different. Risks and uncertainties that may affect the future results of the Company include, but are not limited to, the competitive environment, the speed of market adoption of Vermillion’s products, Vermillion’s ability to commercialize Overa inside and outside of the United States, changes in government regulations, Vermillion’s ability to obtain and maintain required regulatory approvals, payer reimbursement and other factors as described in the Vermillion annual report on Form 10-K for 2015 and Vermillion quarterly report on the Form 10-Q for the quarter ended March 31, 2016. Following the Vermillion’s teams remarks, we will open up the call for your questions. As a reminder today's call is being recorded. Now I would like to turn the call over to Ms. Palmieri.
Valerie Palmieri: Thank you Eric. Good afternoon everyone and welcome. We are excited to recap a year of execution in 2016 and highlight the momentum, plans, and expectations for our business in 2017. Our call today will also include a review of our progress on our overall strategic plan as well. And to the recapping 2016 our primary goal was number to understand the reinvestment gap, post receiving the business request made in 2015. The number one gap was clinical utility. We published our first publication in April 2016 and will discuss additional studies during Mara's update. In regards to the clinical gaps we also changed the positioning of our test to a personalized risk assessment versus a binary result and this drove the creation of our new test report for OVA1. We will discuss this in detail later in the call. In May we set the stage for international presence marked by establishing several long-term distribution agreements. In June we diversified our revenue channels and research and service capabilities with the creation and launch of ASPiRA IVD. And from July through September we obtained several payer contracts including Priority Health, IMS, Sutter and CareFirst. In October we launched our pelvic mass data and specimen repository and in November we achieved probably the most important milestone of the year, OVA1 is now in guidelines which we refer to as Multivariant Index Assay. It received a Level B recommendation in ACOG clinical management guidelines for the evaluation and management of adnexal masses. And finally during 2016 we also cleared our second generation product Overa, launched it in target markets as well received our new CPT code from the American Medical Association in December. 2016 was a strong execution year. Later in this call we will discuss how we will define success for 2017. I am now going to move on to a recap of our strategic plan and our progress in 2016. The plan includes two phases, the first is a transformation phase which was focused on changing our business from solely a licensed company to a licensing plus two diagnostic service companies ASPiRA LABS and ASPiRA IVD. The second phase is a focused domestic and international growth and reimbursement establishment phase which demonstrated meaningful domestic results in 2016 and will continue domestically and abroad in 2017 and beyond. The first phase, the transformation phase is now complete and we're executing on ASPiRA LABSs and ASPiRA IVD offerings. The transformation phase for 2016 included five major objectives. First, the diversification of our revenue channels as well as the improvement of our operating infrastructure. Going forward we will report on ASPiRA LABSs and ASPiRA IVD revenue in our financial section. Our second objective is the development and publication of strong health economics and clinical utility studies foundation to drive positive medical policy coverage and network contracts and ACOG guidelines for OVA1. OVA1 will lay the foundation for the full launch of Overa in time. Third the evaluation and incorporation of our direct to consumer channel better known as direct to women with our OVA1 awareness team. Number four, the creation of our pelvic mass specimen and data repository to support the development of new products, predictive analytics in ovarian cancer, as well the differential diagnosis of debilitating benign diseases that also present as pelvic masses. And finally the execution of our targeted launch programs for our second generation product Overa in specific markets. Now I will go into detail on the first objective of our transformation phase and update on our most recently launched service within the ASPiRA channel strategy ASPiRA IVD. As stated previously formed in April 2016 ASPiRA IVD is a specialized laboratory service provider dedicated to meeting the unique testing needs of IVD manufacturers, commercializing high complexity assays. We offer IVD clinical trial services to third party customers and have continued to recognize revenue in the fourth quarter of 2016. Our goal for ASPiRA IVD is to become a leader in IVD trial services and to enhance our pipeline of future technologies by fostering relationships with IVD manufacturers as well as pharmaceutical companies that will use our services. We have continued to make steady progress including achieving two recent major milestones. Number one, the successful completion of our first sponsor directed study the inter laboratory reproducibility of CCR4 IHC companion diagnostic assays to determine CCR4 status in cutaneous T-cell lymphoma tissue. Number two, the award of a global companion diagnostic study in which ASPiRA IVD is the testing laboratory for all sites in North and South America. This is ASPiRA IVD's first enrolling trial and the first study co-sponsored by a major IVD client as well as a major pharmaceutical company. Revenue associated with this study is expected to be realized from 2017 and will continue into 2019. We are now moving on to our second objective which is a publication of foundational peer review papers to support our payer and guideline adoptions including clinical utility studies, a 360 degree review of health economics as well several scientific and clinical publications. I would like to now turn the call over to Dr. Marra Francis, our Chief Medical Officer to provide this update.
Marra Francis: Thank you Valerie. Just to recap the publication highlights of 2016. In April 2016 the paper titled the clinical utility of an elevated risk multivariate index assay score in ovarian cancer patients for which the lead author is Dr. Eskander is published in current medical research opinion. In November 2016 ACOG updated the Practice Bulletin on the evaluation and management of adnexal masses bulletin number 174 and included multivariate index assay which is OVA1 now as a Level B recommendation. This should allow women's healthcare providers to more readily choose OVA1 testing to better manage adnexal masses. In 2017 we have already had a few noteworthy studies and publications to highlight. In February of 2017 the manuscript titled Evaluation of a Validated Biomarker Test in Combination with a Symptom Index to Predict Ovarian Malignancy to which the lead author is Dr. Urban is published in the International Journal of Gynaecological Cancer. The press release was distributed earlier today. As previously described in detail on our last call this study combines patient symptom index with OVA1 scores and found the sensitivities for ovarian cancer detection when both are used together as 100%. Our first new publication submitted in early 2017 also by Dr. Urban and Dr. Goff looked at the benefit of symptom index with our second generation multivariate index assay also known as Overa for identifying ovarian cancer in pelvic mass patients. The study titled combined symptom index in second generation multivariate biomarker test for prediction of ovarian cancer mirrors the 2016 publication, I'm sorry, 2017 publication on ovarian cancer diagnosis combining symptoms and OVA1. Our second health economic study titled economic impact of increased utilization of multivariate index assay testing to guide treatment of ovarian cancer, a payer perspective for which the lead author is Dr. Brodsky was submitted to the American Health and Drug Benefit in February. The study looked at the economic impact of OVA1 and supported the use of OVA1 by indicating that cost savings over CA-125 can be achieved while attaining benefits of improved diagnostic accuracy. This study looked at the total cost of managing all types of adnexal mass patients both low risk and elevated risk. Within the low risk group those who do not have an elevated risk of malignancy based on OVA1 score, patients were managed more cost effectively by their OB/GYN and primary care physicians. In the elevated risk group those who had higher risks of malignancy based on elevated OVA1 scores, cost effectiveness was seen in earlier stage detection and expedited referral to specialty care. Our third manuscript highlighted the benefit of the low risk OVA1 score was submitted for publication in early March. The paper titled physician referral and surgical choices associated with a low risk OVA1 score in adnexal mass patients for which the lead author is Dr. Eskander looked at management of patients utilizing the high negative predictive value of OVA1 and the clinical benefit to both patients and outcome. We currently have two publications previously submitted and now in editing for final submission in April. The first is a paper by Dr. Goodrich looking at Overa and ultrasound imaging to assess risk of malignancy in adnexal masses. The paper titled performance of a second generation multivariate index assay and ovarian imaging in the malignancy assessment of adnexal masses combines Overa and ultrasound reports to estimate the risk of malignancy of an adnexal mass to assist providers in optimally managing those patients surgically. This paper is the Overa version of the OVA1 paper originally published in 2014. The 2014 OVA1 paper is the basis for our new report providing a risk of malignancy correlating OVA1 to the ultrasound result in menopausal data. The second titled clinical performance comparison of two IVDMIA for pre-surgical assessment of ovarian cancer risk whose lead author is Dr. Shulman compared Overa and ROMA for detection of malignancy in a combined cohort of patients and found Overa to be superior to ROMA for ovarian cancer detection. Lastly we had two publications this February that focused on OVA1 in the overall care of the adnexal mass. The first of these, a white paper written by Dr. Cassik [ph] highlighted how OVA1 assists the community of OB/GYN in the assessment and management of adnexal masses. The paper titled, the solution to pelvic mass management is OVA1 is available on our website. The second publication was an article written by myself and directed towards the patient diagnosed with an adnexal mass. This article titled how you can conquer fear and get answers after a pelvic mass is available on the Conscious Life News website. In total since early 2016 until current day we have had nine publications that are completed or in process of completion highlighting the benefits of OVA1. I will now hand this back to Valerie.
Valerie Palmieri: Thank you Marra. Now moving on to our third objective which is the creation of our new direct to consumer channel. This channel has built a strong base from our OVA1 team, online content from driving awareness and education. Our social media base has been established with tens and thousands of followers on Facebook and Twitter. The website, nopelvicmass.com continues to foster awareness and build content sought after by women with or without symptoms. We expect those online and OVA1 awareness team efforts will continue to grow organically with investment dollars shifting to support awareness and education benefiting both physicians and women directly. We are going to do this via medical publications and our goal is to drive physician awareness with a full -- with a series a full page ads in Contemporary OB/GYN which has over 48,000 printed and 2000 electronic copies distributed monthly. Reaching over 70% of the U.S. OB/GYN physicians and thousands of non-physician women, through these ads we're building awareness in OVA1's ability to assess ovarian cancer risk for all stages, all ages, and sub type. Moving into the next objective which is our core to our data and bioinformatic strategy and the creation of a first in kind pelvic mass specimen bank and data repository. Just a reminder, the goal of this is to support the development of new products and predictive analytics in ovarian cancer as well the differential diagnosis of benign pelvic conditions. We have a specimen repository and database that have close to 5000 specimens with known pathology in addition to those we have added in IRB approved protocol for specimen and data collection of 7000 plus clinical laboratory specimens. When we are complete we plan to have a total of 12000 plus specimens in the repository. We are early in the patient consent collection process. Obtaining patient consent will allow us to receive additional clinical diagnostics data as well as pathology reports which are the gold standard in diagnostics. As we all know ovarian cancer remains one of the most challenging diagnoses to make early in the disease process. We believe that harnessing this data will be key to truly understanding the origin, contributing factors, prevention, and successful treatment of this disease through the development of future bioinformatics solutions. The end goal of our program is the incorporation of our data and specimens as well as a collaboration of top academic institutions to share clinical, epidemiological, genetic, proteomic data on various types of benign and malignant pelvic mass conditions. The fifth and last primary objective of our transformation phase was the targeted launch of Overa, our next generation product. Our targeted launch program is focused on driving protocol and process integration with select strategic customers in healthcare systems and has three primary goals. Number one, to enhance our commercial opportunity in studies where OVA1 has not seen traction or has not been commercialized. Number two, to pilot the customized local practice protocols which may improve care with Overa. And number three, to develop prospective evidence of Overa clinical utility targeted to demonstrating improved patient outcomes and health economics to support national payer endorsement. The first two goals will be tackled with commercialization efforts focused on strategic accounts in healthcare systems. We now have select accounts established and are now offering Overa this limited launch. In December 2016, we just recently received our in AMA CPT code POA003. This will allow us to establish reimbursement and facilitate clinical utility at the practice level. The last goal will be Overa clinical utility studies. We have identified several healthcare systems and partners that we continue to work with each with high patient volume and proven ability. We anticipate that steady outcomes will support payer messaging and reinforce Overa's value in the healthcare system. This concludes my introduction so let's now turn to the financials. I will hand the call over to Eric Schoen, our Chief Accounting Officer and Senior Vice President, President of Finance. Eric?
Eric Schoen: Thanks Valerie. Today we issued our fourth quarter and full year 2016 financial results in a press release which is available for download via the investor section of our website at www.vermillion.com. Our Form 10-K will be filed with the Securities and Exchange Commission by March 31st. Total revenue for the full year 2016 was 2.6 million compared to 2.2 million in the prior year. Total revenue in 2016 was comprised of 2.3 million in product revenue from OVA1 and 322,000 in service revenue from ASPiRA IVD. Total revenue in 2015 was comprised of 1.9 million in product revenue including a one-time recognition of 163,000 in deferred revenue as well as 316,000 in license revenue. Our total OVA1 and Overa volume was 9,125 for 2016. All of the OVA1 and Overa tests were performed by ASPiRA LABS. Total OVA1 volume was 13,598 for 2015, this would comprise of 8,937 tests performed by Quest Diagnostics and 4,661 tests performed by ASPiRA LABS. The 33% decrease in volume from 2015 to 2016 was due primarily to the transition of OVA1 testing from Quest Diagnostics to ASPiRA LABS. Product revenue however increased 459,000 or 29% or 25% in 2016 compared to 2015 despite the decrease in volume due to gains in average unit price in 2016 and as compared to the fixed fee per test from Quest Diagnostics in 2015. Service revenue was 322,000 for the year-ended December 31, 2016. There was no service revenue in 2015 as ASPiRA IVD began operations in June 2016. Total revenue in the fourth quarter of 2016 was 805,000 compared to 361,000 in the same year ago quarter. The fourth quarter 2016 revenue included 680,000 from product sales of OVA1 by ASPiRA LABS and 125,000 of service from ASPiRA IVD. All prior year revenue was from product sales of OVA1. Product revenue increased 88% in the fourth quarter of 2016 compared to the prior quarter. Tests performed during the fourth quarter of 2016 decreased 11% to 2,258 compared to 2,529 OVA1 test performed in the prior year quarter. Test volume has been stable in 2016 after initial volume loss associated with the transition of OVA1 testing from Quest Diagnostics to ASPiRA LABS in August 2015. Revenue on a per test performance basis however increased to $301 per test in the fourth quarter of 2016 compared to $143 in the fourth quarter of 2015. The comparable number in the third quarter of 2016 was $257 and has increased five quarters sequentially. I do wish to note however, that approximately $45,000 or $20 per test of the fourth quarter increase was attributed to the resolution of billing issues with Novitas, our Medicare contractor was a onetime item. A normalized average unit price for the fourth quarter of 2016 is $281 per test. Revenue for ASPiRA LABS contractual plants, part of our Medicare revenue and revenue for certain other customers that can be regionally estimated is recognized when the OVA1 test is performed. All other ASPiRA LABS revenue is being recognized on a cash basis unless there continues to be a lag between performing a test and being able to recognize revenue for some tests. We intend to continue to transition through accrual based revenue in 2017 when revenue from certain customers becomes estimable. Cost of product revenue for the three months ended December 31, 2016 and full year 2016 totaled 0.5 million and 2 million respectively. Cost of product revenue for the three months ended December 31, 2015 and full year 2015 totaled 0.5 million and 2.3 million respectively. Cost of product revenues for the full year 2016 decreased 335,000 or 15% compared to 2015. Cost of product revenue for 2015 included significant onetime costs associated with the cut over of volume from Quest Diagnostics to ASPiRA LABS in August 2015. That cost the product revenue in 2016 decreased compared to 2015 even though ASPiRA LABS processed significantly more OVA1 tests in 2016 compared to 2015. Cost of service revenue was 724,000 for the full year 2016. There was no cost of service revenue in 2015. Operating expenses for the three months ended December 31, 2016 and the full year 2016 were approximately 2.9 million and 14.9 million respectively. This compares with operating expenses of 4.9 million and 19.1 million for the same three months and full year period in 2015. This equates to a reduction in operating expenses quarter-over-quarter of 41% and year-over-year of 22%. Expenses included approximately 0.3 million of non-cash stock based compensation expense in the fourth quarter and 1.2 million for the full year for both 2016 and 2015. The year-over-year decrease in expense was due primarily to planned, lower commercialization cost and consulting expenses following our February 2016 restructuring. In addition research and development costs decreased after the completion of our collaboration agreement with the Johns Hopkins University School of Medicine and also due to lower personnel following the clearance of Overa. The decreases were partly offset by startup costs to launch ASPiRA IVD. Net loss for the fourth quarter of 2016 was 2.8 million or $0.05 per share on weighted average shares outstanding of 52.3 million. Compared to the fourth quarter of 2015 this is a reduction in net loss of 2.1 million or 43%. Net loss for the full year 2016 was 15 million or $0.29 per share and weighted average shares outstanding of 52.2 million. Compared to the full year 2015 this is a reduction in net loss of 4.1 million or 22%. Our current total shares outstanding are 56.1 million including the 3.7 million shares issued in our February 2017 private placement. As of December 31, 2016 cash and cash equivalents totaled 5.2 million. In February 2017 we received 5.6 million in gross proceeds from our sale of common stock and warrants. The company utilized 2.8 million in cash in the fourth quarter of 2016. We expect cash utilizations to decrease further to approximately 2.6 million in the first quarter of 2017 net of operating proceeds and expenses. We expect cash utilizations to continue to decrease in the second quarter of 2017 with the goal to reduce our cash utilization to under 2 million per quarter over the balance of 2017. We expect to end the first quarter of 2017 with approximately 7.9 million of cash on hand. Now I will turn it back to Valerie.
Valerie Palmieri: Thanks, Eric. I will now review the sales and investment strategy and performance for Q4 2016. Our domestic sales strategy is driven by deliberate focus in select key markets, coupled with maximizing the integration of OVA1 into daily practice. In Q4 2016, we performed 2,258 tests versus 2,257 tests in Q3 2016. On a per day basis, volume increased 2% quarter-over-quarter. We are seeing regional specific increases on a per-day basis comparing Q1 2016 versus the last 3 months of performance. We believe this is a direct result of the recent ACOG guideline update as well as the integration of our new informatic report coupling transvaginal ultrasound results with our OVA1 score and the reporting of CA-125. To date, aligning the physician's daily practices of managing adnexal masses to our diagnostic and informatic solutions has demonstrated an increase in specimens per MD per month as well as strong positive feedback from our current and new customers. In addition to the guidelines announcement in Q4, we also received an FDA clarification letter regarding OVA1 and Overa. This letter was in reference to the September 2016 FDA Safety Communications advising women and their physicians against the use of ovarian cancer screening tests for asymptomatic women. The letter we received in December 2016 from Dr. Jeffrey Shuren, Director of the Center for Devices and Radiological Health at the FDA, agreed that the safety communication did not apply to Vermillion's FDA clear test and further stated that FDA cleared OVA1 and Overa, A) to further assess the likelihood that malignancy is present when the physician's independent clinical and radiological evaluation does not indicate malignancies. We were very pleased to receive this letter because the September safety communications had created some confusion in the marketplace. Both the FDA letter and the ACOG guidelines have had a positive effect on our overall sales process. Lastly, we would like to report on some significant updates on three sales adoption drivers which include domestic payer coverage, regional commercialization partners, and select international relationships. On the domestic payer front, we're happy to report two updates. Number one, we have an in-network agreement with Blue Cross Blue Shield of Michigan for OVA1. This is an expansion upon our prior positive medical policy coverage in States where OVA1 has significant clinical adoption. Blue Cross Blue Shield of Michigan serves over 6 million patients throughout Michigan and its surrounding states. Blue Cross Blue Shield of Michigan has about 67% of the covered lives in Michigan and the surrounding States as well. Combining that with our other plans, we now have greater than 80% of the covered lives under contract in the Michigan market. Approximately 19% of our volume is in Michigan and the surrounding states. This was our fifth recent announcement highlighting new managed care contracts as we continued to expand our reach in key strategic markets. Number two, we also achieved out-of-state provider status with Medi-Cal. Medi-Cal covers about 12.7 million lives in the state of California, which is about a third of the California market. Like Blue Cross Blue Shield of Michigan, this is also a conversion of prior positive medical policy coverage for OVA1 to provider status in a state where OVA1 already has significant clinical adoption. We would expect to see improvement in Medi-Cal revenues for existing OVA1 testing as well as this is an opportunity to gain providership with plans in California servicing Medicaid and Medicare patients, which represent close to 50% of the covered lives in California. Both of these expanded coverage milestones are combined in regions which comprise over 38% of our total current testing volume. We believe the very recent inclusion of OVA1 into ACOG guidelines was significant in our attempts to gain expanded coverage with Blue Cross Blue Shield of Michigan, Medi-Cal, and we are hopeful this trend will continue in 2017. Coupling our payer contracts with our current clinical utility and health economic publications as well as our newly submitted publications, we believe we will have a compelling evidence foundation to support our value-based technology solution for payers as well as progressive healthcare systems and accountable care organizations. In addition to managed care impacts, we also have an update on the reimbursement front. In January, we announced that OVA1 was included on the list of clinical diagnostic laboratory test procedures for which the centers for Medicare and Medicaid services will require reporting of private payers rate as a result -- as part of the implementation of the Protecting Access to Medicare Act better known as PAMA. 2018 Medicare pricing for OVA1 is expected to be based on a weighted medium of final private payer rate from January through June of 2016. New rates are scheduled to take effect on January 1, 2018. We're now moving on to our second adoption driver, which is the implementation of domestic regional partnerships. Domestically, we are building upon established and new partnerships. Given our technology's documented superiority over alternative technologies such as CA-125 and ROMA, we are actively establishing new regional partners to complement our existing sales force. In the short term, these agreements with these strategic lab partners will include enhanced OVA1 agreements, coupled with long-term rights to offer and bill for OVA1 and Overa testing under their in-network lab contracts and existing client connectivity. We anticipate that this will enhance our sales and operational efficiency overall. Our third sales adoption driver is international distribution networks. We are rolling out two Overa international models, centralized and decentralized. They are designed to meet the unique needs of each country outside the U.S. We expect the web services platform or better known as cloud platform, will be ready by Q2 2017, for integration with customers in the second half of 2017. In the near term, we expect the impact of our initial international contracts to be minimal as we work through market, regulatory and payer issues in those local jurisdictions. But we expect sales outside of the U.S. to have a positive impact on volume and revenue in late 2017 and beyond. We believe that Overa's proven diagnostic technology, with the ability to utilize the Roche Cobas platform, will be the solid foundation for global commercialization so women worldwide can more easily benefit from our technology. Keep in mind that about 90% of the ovarian cancers worldwide are outside of the U.S., and we have just started to enter that market. In closing, we believe that the fourth quarter of 2016 was a milestone quarter in terms of revenue, growth in specific regions, and payer success to set the stage for 2017. In 2017, we plan to define our company's success using these four metrics. Number one is revenue growth. Revenue growth will be how we measure the effectiveness of our new integrated sales process as well as how we leverage U.S. partner laboratories in our decentralized platform. Number two, is reimbursement expansion, including a national payer. Number three, is the continued development of scientific and clinical evidence, which may serve as the foundation for additional guideline inclusions, payer coverage policies and test adoption. And number four is financial discipline as we grow revenue and improve operating efficiency with the eventual goal of profitability. We look to keeping you apprised of our progress during 2017. And this concludes our presentation, and we are ready to take questions.
Operator: [Operator Instructions]. And we'll take a question from George Kafkarkou [ph].
Unidentified Analyst: Hi guys, thank you for taking my question. Can you hear me okay.
Valerie Palmieri: Yes, we can George.
Unidentified Analyst: Fine, you mentioned one of the four measurements for this year is a national payer. How do you guys think about that, clearly, the ACOG guidelines, one would imagine is a big driver towards that, are you guys giving guidance in terms of the kind of timeline of getting a national payer or more?
Valerie Palmieri: So, George, in terms of the national payer, we believe -- so as you know, that was on our goal list for last year first off. And we believe, right now, with the fact that we have guidelines, and as you've seen in Marra's review of the publications, we now have the collateral to potentially push them over the edge. I mean, you never know because there are other ways, other technology in the guidelines that they could use such as CA125 and ROMA and a technology called IOTA, but we believe that our story is, between our guidelines and ACOG, plus the I would say, recognition in NCCN, and the fact that we are a technology for all stages, all ages and all cancer types. We believe we are the best-suited technology for women. So we're very hopeful that 2017 is our year for a national payer.
Unidentified Analyst: Okay. I mean, if one considers the announcement this morning with -- in combination with SI, we are at 100% efficacy. You would imagine that that's a natural shoe-in in additional support for decision by a national payer. Okay, that helps me. On the international front, how do you guys think about the European markets and potential partnerships with that? I'm aware of an Israeli relationship you already have, but I'm thinking of bigger markets such as the United Kingdom or Germany. How do you guys think about those markets?
Valerie Palmieri: So it's a good question, George. So in terms of the UK, the UK has one of the highest mortality rates of ovarian cancer in any developed country globally. So it is very high on their radar screen as that they are the originators of the UKCTOCS trial, that trial that was recently published was out of the UK. And so the UK is very high on our list. We can't go into updates because they're not a public domain yet. But that is a very hot region, not only from a clinical need but in terms of the patient's need in terms of the size of the market. But there is also research opportunities that we're looking at there too because they really want to try to solve this ovarian cancer paradigm. So it is high on our list.
Unidentified Analyst: Yes. And the health economics of it is very expensive in the United Kingdom. So one would imagine, hopefully, there's a lot of -- there's a big appetite for a partner or two in the United Kingdom for our offering, right?
Valerie Palmieri: That is correct, George.
Unidentified Analyst: Okay. So it's kind of watch this space, right? Okay.
Valerie Palmieri: That's right. That's right.
Unidentified Analyst: Eric mentioned by the end of -- if I heard it properly, by the end of the year, we'll have $7 million in cash. Does that include the automatic triggering of the warrants if we stay above $1.80 or whatever it is as per the last raise?
Eric Schoen: No, our expectation, George, at the end of the first quarter, so March 31, 2017, is we'll have $7.9 million in cash.
Unidentified Analyst: Oh, I'm sorry. Okay, I missed...
Eric Schoen: Yes, I was trying to help people with the math because we had $5.6 million, then we raised money in Q1 2017. But no, you bring up the warrants that is a good point, because there's a special feature in those warrants that after August 2017 if our stock price is above $1.80, we could actually and if it stays that way for more than 20 days, we can actually call those warrants on the holders. And if those warrants were exercised, that would be an additional $5.1 million in the coffers.
Unidentified Analyst: And how long does it need to stay above $1.80 and for which period does it need to stay above $1.80?
Eric Schoen: 20 business days, any time after August 17, 2017 to the expiry of the warrants, which are five years from February 2017.
Unidentified Analyst: Okay. I mean, without that as of the end of March with $7.9 million, we have three or four quarters of runway, right?
Eric Schoen: Over four quarters of runway. As I mentioned, we're going to be bringing our net burn down to less than $2 million per quarter over the balance of the year.
Unidentified Analyst: Right, and one would hope there's a continued and very healthy growth in revenue by virtue of, hopefully more tests right? And continued increase in average price per test?
Eric Schoen: Yes, our formula is pretty simple. If you look at 2016 as an example, we were increasing revenue every quarter and bringing cost down every quarter. That's a good recipe for success if we want to continue that in 2017.
Unidentified Analyst: Okay. And just the final question, and I think it's the final question, and thank you for indulging me, how do you guys think of the ASPiRA brand, my sense is that I'm associating more of the new developments, more of the new exciting developments, the new strategies that Valerie, you've owned and seemed to me executing very well, that's kind of under the ASPiRA brand, and I'm wondering what's the value of the Vermillion brand going forward, how do you guys think about that?
Valerie Palmieri: So it's really good questions, George. I think that you will be seeing more ASPiRA. It's really a complete, I would say, facelift on the company. And we are looking at how we're naming things and branding things, as you see ASPiRA IVD, ASPiRA LABS. So you will be seeing more ASPiRA and even when you go to our website, you can see how things are you can tell in Vermillion. So I can't go into details that are not in public domain, but there is a plan and a thought process as we're transitioning the branding of the company.
Unidentified Analyst: Yes, for sure. The new website, which is very nice by the way, congratulations.
Valerie Palmieri: Thank you.
Unidentified Analyst: You could see the branding of ASPiRA much more prominent than Vermillion, so hence my question. Okay, that's it. Thank you from me. Thank you for taking my questions.
Valerie Palmieri: I thank you George. Thank you for the questions.
Operator: [Operator Instructions]. And with no questions left in the queue, I'll turn the call back to Ms. Palmieri for any additional remarks.
Valerie Palmieri: Thank you, Eric. To conclude, we have a steadfast execution plan to change the course of pelvic mass patient management in the U.S. and worldwide. Since we began on this journey, we have completed two of the three major strategy phases; our rebuild phase and transformation phase. We are now focusing on our growth phase by focusing on our sales efficiency, key payer publications in coverage, and overall growth. The three key elements of the growth phase are as follows; first, the successful deployment of our domestic and international commercialization strategy based on a focused clinical utility and health economics to drive sales, payer coverage as well as guidelines. Second, delivering key results from our new revenue channels, including ASPiRA IVD and international partnerships. And third, laying the foundation for our one-of-a-kind pelvic mass repository, which is intended to be the core of our big data engine and pelvic mass portfolio. As we build our database, we plan to build upon our existing platform to not only change the way ovarian cancer is managed, but also to push early detection upstream and build a proprietary portfolio to manage pelvic mass conditions, which impact one out of every five women in the U.S. Our end goal is to serve a global market with strong proprietary science coupled with a platform, which will drive profitability and overall shareholder value. Thank you for joining us today and thank you for your interest in Vermillion. We look forward to seeing you at the upcoming medical meetings and investor conferences.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.